Operator: Good morning, everybody, and thank you for joining us today as we discuss our First Quarter 2021 results and Outlook for the Full Year of 2022. My name is Soren Skou, and I'm the CEO of A.P. Møller Mærsk, and I'm joined today by our CFO, Patrick Jany. So let me start by saying we are, of course, pleased to present our results from another extraordinary strong quarter. The first quarter of 2022 is the 15th quarter in a row with year-on-year growth in operating earnings since Q3 of 2018. And the 16th quarter, I think I can say with some confidence is also in the making as we speak. We delivered record-breaking results across all segments, Ocean, Logistics and Terminals and the strong Q1 performance, combined with a better-than-expected outcome of this contracting season, and I'll get back to that. In Ocean, allowed us to announce significantly increased full year 2022 guidance last week. Strong cash conversion in Q1 and the earnings outlook for the year will enable us to continue to both distribute significant amounts of cash through dividends and share buybacks, but also to invest into our business and to continue to acquire companies. In the first quarter, the free cash flow of 6 billion was almost sufficient to pay for the record high dividend payment from the 2021 result, and we left Q1 with a super strong balance sheet free of debt. Our customers are the foundation of our success. I'm particularly pleased that our customer satisfaction measured by the Net Promoter Score system remains stable at a record high level. The fact that we continue to have satisfied customers despite the ongoing congestion and disruption to global supply chains is a solid indicator of future growth. Overall, we continue to see customers buying into the value proposition that our integrated model provides and the penetration of logistics services increases every quarter across our top ocean customers. Our brand, our customer relationships in Ocean, our global organization, our control of key assets such as ships and containers, ports, warehouses, aircraft, all of that combined with our digital investments drive a better customer experience, and it has enabled us to build a really, really profitable growth engine in logistics. Now let me turn to Page 5 for more color on our strategic transformation. We continue to make progress on reducing our exposure to spot freight rates in Ocean. And we continue to bring more customers into some kind of contractual relationship based on unique products to different segments. In the first quarter, we experienced significant success in signing contracts at higher rates. We have now signed 80% of this year's expected contracts at a rate which is on average, $1400 higher than in 2021. And we expect the remaining 20% of our 2022 contract volumes to be signed at similar levels. So $1400 per FFE on around 7.3 million is a feedback will drive around $10 billion of incremental revenue in 2022 compared to last year. And that is, of course, the main basis for our recent EBIT guidance upgrade to around 24 billion. As a side note, I would just like to add also that we now have more than 20% of our long-haul volumes on multiyear contracts, some at fixed rates and some with backward-looking indexing. And that will provide additional resilience and stability in our earnings for the coming years. Finally, we are getting traction on transitioning shipments, i.e., non-contract volume to our digital platforms, such as Marpot and TIL [ph] which delivers an optimal customer experience. With 41% revenue growth in logistics and services in this quarter, we are again delivering the profitable growth in logistics, which is the foundation of our strategic transformation to become a global integrated logistics company. We see, frankly, enormous potential for growth in logistics in the next decade as we increasingly are tapping into our Ocean customers, non-Ocean logistics spend, driven by our integrated vision and the building of capabilities and competitive products across all logistics products. The first quarter was the fifth consecutive quarter of more than 30% organic growth in logistics and with EBIT margins above our target of 6%. This is despite the impairments we made during the quarter related to Russia, which I will address later. Our top 200 customers continue to drive this logistics growth and contributed 60% of the organic revenue growth in the first quarter. 18% of Ocean bookings made on maersk.com are now also including a logistics component, which is up 1 percentage point versus the previous quarter. Obviously, the potential to continue this development is huge.  We closed the acquisition of Pilot on Monday this week, and we expect to close on Senator and LF within the next two months  If we assume midyear closings for the last two acquisitions, we should be able to get very close to $15 billion of logistics and service revenue in 2022, nearly $1 billion of EBIT, and that's a growth in round numbers of 50% compared to last year. Our Terminals business also had a great quarter, achieving a record EBIT of 412 million before the write-down of our stake in Global Ports as part of the impairment of our Russian operations. This, of course, also reflects the return on invested capital as reported. The results in APMT were driven by better than market volume growth, particularly in North America, with higher revenue per move and storage income. And we continue our global investment into automation and process improvement in our terminal operations as efficiency gains are key to alleviating congestion in global supply chains. On Slide 6, we have an updated summary of our performance across KPIs on our road map to 2025 that we announced almost 1 year ago at the Capital Markets Day. We continue to deliver across all the metrics, in some cases, well in excess of our expected average. And of course, the terminal ROIC is negatively affected by the impairment of our GPI investment. Without that impairment, the terminal's return on invested capital would have been at 12.5%. Now let me turn to Page 7. We are - we have responded to the Russian invasion of Ukraine by disengaging from doing business in Russia. And we are also providing logistics support for aid and relief cargo into Ukraine, and we have responded through a range of initiatives to support our colleagues/ Our first and immediate concern was the welfare of all affected employees. For our Ukrainian colleagues, we have provided immediate support, including evacuation [ph] and relocation assistance for them and their families. All our colleagues who wish to be evacuated have been relocated and we continue to assist to the extent possible those who remain in the country. As logistics is a core capability for us, we are, of course, using that capability to provide large-scale assistance across the region to support the secure and stable flow of aid and relief supplies. We're providing warehousing solutions in several countries bordering Ukraine, Poland, Moldova, Romania for receiving aid and relief cargoes donated by governments, NGOs and even some of our own customers. And we provide as well multimode transport solutions from the warehouses into Ukraine, rail and trucking all the way to the east of the country. While we are disengaging from all Russian activities, it's also our responsibility to our Russian colleagues to ensure that this is done in a planned and responsible manner, limiting uncertainty and providing appropriate severance payments. We do not hold our Russian colleagues responsible for the actions of their president. The disengagement from Russia means that we have written off all of our Russian assets in this quarter, impacting our Q1 result negatively by $718 million. The main impact of that is the write-down in terminals due to the stake in Global Ports. Now turning to Slide 8. The question highest on the minds of those involved in Global Logistics is, of course, when we will see a normalization of the extraordinary market situation, we have experienced since the beginning of COVID-19 pandemic. Unfortunately, this quarter didn't bring us much closer to normalization. In fact, the spread of Omicron in Mainland China and the continuance of the zero covalence policy in China have added to the disruption and the timing remains very difficult to predict. Somewhere between 10% and 12% of global ocean shipping capacity is tied up in port congestion, we believe. And that's actually an increase on the situation earlier this year. What we have seen happen is that port congestion has spread from the U.S. West Coast to the East Coast and now also to parts of China. We, of course, continue to work and do what we can to help our customers. Now turning to Slide 9. We continue to make steady and concrete progress towards our goal of being the leader in decarbonizing logistics. Our equodelivery product is ramping very quickly. In this quarter, we tripled our volumes and see extremely strong demand for this premium priced products. As you know, we have ordered 12 ships, which can run on green methanol. So our next step has been to secure adequate fuel supply. The green and e-methanol fuel supply chain is still in the startup phase, but it is our intention to support it either through direct investments, partnerships or offtake agreements. And in the first quarter, we signed letters of intent for offtake agreements and partnerships with six leading companies. And we have also signed - we have signed enough contracts now to fuel the first series of ships. In addition, we have signed a memorandum understanding with the Egyptian government to explore large-scale green fuel production in Egypt. Our goal is to be at net zero across all scopes and businesses by 2040. Towards that this quarter, we purchased more than 400 electric trucks. They are intended for short haul between warehouses, Solenis - in Southern California and in the Chicago area. And we have taken delivery of the first ones, and we look forward to adding those to the fleet soon. Finally, let me invite you all to save the date for our ESG date now set for 22nd of November. While we regret the delay, I'm convinced that the timing will be optimal just after COP27  Before I hand over to Patrick, let me just address our guidance, which we revised and upgraded last week. The upgrade means that we're guiding for another super strong year for Maersk with an EBITDA guidance of DKK 30 billion, which is equal to around half of our market cap and a free cash flow of more than 19 billion, which is equal to around a third of our market cap. As mentioned earlier, this upgrade is primarily on the - based on the better-than-expected progress on contract signing and a super strong Q1. Although at this stage, it remains very difficult to predict when congestion will ease in global supply chains, given the an Ukraine and Chinese response to ongoing pandemic. Economic uncertainty has only increased over the past quarter. Therefore, we consider it prudent to maintain the assumption that the assumption for our guidance that normalization in Ocean will start early in the second half. Let me say again, as we also said in the first quarter, this is an assumption for the guidance, not a prediction. We don't have enough visibility to predict the timing of the congestion of the easing of congesting. Based on our volume declines in Q1 and expectations for the rest of the year, we now expect global container demand to be essentially - growth to be essentially flat this year. Other - our other guidance elements such as CapEx remain unchanged. On the right hand of this slide, you see our 2022 agenda items. They also remain unchanged, and I'm pleased that in this quarter, despite the extreme challenges faced, all Maersk indices have pulled together to produce significant and tangible progress across all categories and segments. And with that, I will now hand over to Patrick.
Patrick Jany: Thank you, Soren, and let me add my welcome to the conference call. Let's start straightaway with Slide 12, which goes into the financial highlights of the quarter, of which they are actually quite many this time. As Soren said, despite an extremely challenging environment, we achieved record performance, growing revenue by 55% to $19.3 billion. The high freight rates in Ocean were the main driver, but also higher volumes in logistics and services and terminals contributed to the strong revenue performance. We achieved a record quarterly profit level with an EBIT of $7.3 billion, more than doubling the previous year number of 3.1 billion despite the exceptional charge of $18 million related to the winding down of our Russian activities. This led to a net result of 6.8 billion, the highest quarterly profit of the group ever. We ended the quarter with a net cash position of $689 million, close to the net 1.5 billion at year-end of 2021, despite returning 6 billion dividend and 600 million in share buyback to shareholders, thanks to our very strong cash flow generation, which we explore in detail on Slide 13. In Q1, we had a tremendous operating cash flow of more than $8 billion, equivalent to a cash conversion of 90%. Our gross CapEx was 1.4 billion, in line with our expectations and significantly higher than the prior year quarter as we invest in logistics assets and made another down payment on our methanol vessels. This gave us 6 billion of free cash flow which almost balanced the 6.6 billion in returns to shareholders. We will continue the share buyback as planned this year in the amount of $2.5 billion and have actually just commenced the second tranche. Now let us turn to the development in each of our segments, starting with Ocean on Slide 14. As explained earlier, the congestions and network disruptions, which began during the pandemic continued to pressure global supply chains, and in fact, worsened over the quarter. As a result, both our freight rates and costs increased significantly year-on-year and sequentially, and volumes and utilization were constrained. For Ocean, this led to a 71% higher freight rates, but also a volume decline of 6.7%. The revenue growth was partially offset by rising operating costs, which were up 21% due to increases in bunker cost, which was up over 50% in the quarter and other network cost increases, including term load and handling fees. Nonetheless, our Ocean segment produced a record EBIT of $8.2 billion in Q1 with a record high margin of 45.4%. On Slide 15, we show the freight rate effect in a more graphical way, as well as the offsetting lower volumes, higher bunker price and increasingly higher container handling network costs when compared to previous quarters. As a reminder, we have a contractual adjustment [indiscernible] this will add an approximate $150 on contracted rates as we go forward through the year and is part of the upgraded average rate increase of 1,400 previously mentioned. Turning to Slide 16. Our average freight rate increased by 71% by the prior year and 14% sequentially. This growth was driven primarily by long haul, especially on the transpacific route. While staying within our committed capacity fleet of 4.1 to 4.3 million TEUs, this quarter, we placed more capacity in the market in order to meet customer demand. The increase in congestions, however, minted volumes declined by nearly 7%.’ s mentioned earlier, we have shifted from discussing long-haul volumes in terms of long term and short term to simply contracts and shipments in order to better align with the actual customer relationship. Contracts are products that have terms and conditions, which extend across multiple shipments in time periods, while shipments are transactional at the time of booking and are primarily done by our digital platforms of Merck Spot and 12. You will note that under our previous methodology, we now have a lower 2022 forecast for long-term contracts than mentioned back in February. This is because of lower expected transpacific volumes as a function of congestions and lower backhaul volumes. More importantly, for our long-term strategy to become more predictable and resilient in ocean is the fact that we now have 1.6 million FFEs or 22% of contracted volumes on multiyear contracts. Moving to Slide 17, let us spend a moment on our operating cost in Ocean. The main driver of the 21% operating cost increase this quarter is a 54% increase in bunker, which we will pass through in the form of the buff, which should begin to be visible later in Q2. Other costs were up 14%, which combined with lower volumes of 7% led to a 23% increase in unit cost at fixed bunker. Adjusting for the Russian impairment unit costs increased by only 20%. Turning now to Logistics & Services on Slide 18. We are pleased that demand for our integrated services continue to be very strong, allowing for robust growth in both revenue with a growth of 41% in the quarter, but also profits with a strong EBIT generation. The impairment of two houses [ph] in cold starch facility in Russia led to a $53 million charge to EBIT, while lower by lowering the quarterly margin from 8.2% to 6.4%. Higher rates on airfreight, operating leverage and lead logistics and strong performance in customs and Insurance all contributed to the margin development. As Soren mentioned, the quality of our financial performance is high with all indicators reaching good levels. We produced our fifth consecutive quarter of organic growth above 30%, driven by higher volumes, primarily in warehousing and transport under managed by and fulfilled by Maersk. And 60% of this growth came from our top 200 customers. The fact that the majority of this organic growth regularly comes from our top 200 ocean customers gives us confidence that our integrated strategy is what customer wants, and that is the direction we will continue. Our gross profit to EBIT conversion ratio is actually stabilizing now at around 25%. But please note that this also includes the negative effect of the Russian impairments. Without this impact, the gross profit conversion ratio would have been close to 30% in Q1. Looking now at the development within the 3 product families on Slide 20, we see a very strong growth in the integrated products and services, namely managed and fulfilled by Maersk. In MegebyMaersk, revenue reported a growth of 48% to $480, driven by demand from retail and lifestyle customers with EBITA margin slightly increasing year-on-year.  or fulfilled by Maersk, revenue grew by an impressive 74%, accelerating further of a strong base as our contract logistics business, profited from new warehouse openings and new customer wins. E-commerce also contributed to the strong growth. Profitability was strong with an EBITDA margin of 11% below previous year, but above Q4 2021 as the one-off costs from year-end did not repeat. Finally, in transported by Maersk, we saw the benefit of higher volumes in landside transportation and air freight rates, contributing to both higher revenue and higher profitability
.: Our talks to divest the stake are progressing, and we will inform you of any further development at the appropriate time. Of course, the terminals return on invested capital will be affected by the impairment for the next year. Excluding the impairment, Terminals ROIC would have progressed to 12.5%, which is an extremely rewarding return for our terminals operation. Turning to Slide 22. We show the EBITDA bridge for gateway terminals, up 41% versus the prior year quarter, driven by underlying business environment and the impact from higher storage and rate increases. Volumes increased 1.7%, showing a global congestion, showing that global congested led to port emissions and terminal disruptions. We believe that overall, the market actually experienced a volume decline. So this performance indicates continued relative strength. Congestion is also a factor behind the higher revenue per move as we continued to see elevated storage revenue. To finish up on Slide 23, we have a summary of our main activities in the newly named Towage Maritime Services segment. Revenues at Switzerland grew 6%, while impairments of $80 million brought profitability down. On an adjusted basis, profitability would have risen by 4%, underlying the persistent stability and strength of this business. Maersk Supply Services reported revenue growth of 54% as market conditions in the North Sea and Brazil improved. The contract win with the Empire offshore wind project for our patented vertical installer was an important milestone this quarter, demonstrating that Maersk Supply Services has the right technology to progressively evolve from servicing offshore drilling to servicing offshore renewables. Have we completed our rent through the segments, I'd like to hand over to the operator for the Q&A session. 
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Muneeba Kayani from Bank of America. Please go ahead.
Muneeba Kayani: Hi. Thanks for the clarification on your guidance in terms of what you've assumed for the normalization. Can you talk about currently what you're seeing in China in terms of the trucking and getting exports out of China situation? And do you expect a surge in volumes when lockdowns ease? That's my first question. And then secondly, just a clarification on contract rate increase after full for this year. So you said in the last call that you were expecting 800. And then last year, you had a 1 million feel [ph] comfortable given the change in clinician. So should we be thinking last year with an average of 3,000 and then we add on top of that. So if you could just clarify the moving parts there. Thank you.
Soren Skou: Okay. Yeah, let me start with the China question. It was a little bit hard to hear your questions, but I think we got it. On China, what we are seeing, of course, is that Shanghai has now entered its sixth week of lockdown. The port is open and operating. However, we are seeing quite some, if you will, disruption on the land side, a lack of trucking capacity and also lack of warehouse workers, which is slowing things down somewhat. And we are seeing an impact on our volumes out of China right now, but probably less than we could have expected. Clearly, there is a risk of further lockdowns in China due to the Chinese, what we call the dynamic COVID policy. And we will see how the year evolves. It's our understanding that the Chinese government is very focused on this policy and want to maintain it. So also despite, if you will, it will have impact on the economic growth. So that's our main scenario for China this year. The purchase orders that our customers have given - have issued in China, they don't disappear just because we have a close down in one part or the other. So obviously, they will come later with some delay. But I guess, right now, we don't see a huge buildup of volumes because of the close down in Shanghai. And then Patrick, maybe you will take the freight rate question.
Patrick Jany: Yeah. So to your second question, yes, as referred to the increase we see in the contracted rates, right? So indeed, as you mentioned, last year, we saw an increase in 2021, right, of around $1,000 of the contracted rates, which is what we indicated in the call back in February, which led to an approximate, let's say, $3,000 per FFE on the contract rates. Now we are guiding for an increase of 1,400 per fee. So mathematically, that gives you a thousand 400 rate indeed. And the increase from our guidance back in February, which was $800 per FFE to the 1,400 now is mainly due because we have more visibility on the contract season. We also have some first BAF adjustments coming through well-increased bunker. So from that point of view, I think it gives us a good confidence now that we have 80% of the contracts actually done, that we have a good visibility on the rates, which will apply for the 70% of our long-term volumes - long-haul volumes this year...
Operator: And the next question comes from the line of Ulrik Bak from SEB. Please go ahead.
Ulrik Bak: Yes. Hello, Soren and Patrick. And thank you for taking my question. Also to the questions about the contracted rates. They have now gone up to an increase of 1,400. So now that we are almost halfway through 2022, is there further room for this average to be adjusted significantly up or down throughout the remainder of the year? And also to what extent will there be a spillover effect into '23, both in terms of the length of the contracts but also the rate levels that we are currently seeing. And then my second question is, I think you mentioned concerned that you expect the remaining 20% of your '22 volumes will be entered into similar levels in terms of rates as the contracted rates. I just want to clarify if that was the case and also if that was the case, how does that fit with your assumption about a normalization from the beginning of the second half? Thank you. 
Soren Skou: Well, you're right, I said we would enter them at a similar level. I guess what I should have said ended them at a level so that we will get an average for 1,400 mathematically, it actually means higher rates for the remaining 20%, sorry for being not quite clear here. We only have 20% of our volumes left to do in contracts. All of that is in negotiation by now. So we don't see much chance of the level of 1,400 changing dramatically one way or the other by now. We're also disclosing today that 22% of our contracts are multiyear. So they will mean that contracts that will apply next year, as well and some of them further out. The contracts have one of rate structures. One is fixed rates. So we have a number - quite a number of contracts with fixed rates, where customers signed up for 2 or 3 years at a fixed rate level. So of course, that's been done. And then the other contracts or the other mechanism is a backwards-looking indexing. So basically looking back at the rates in 2022 and using that as the guide for the rate in 2023. In both cases, of course, this is something that puts a floor under our earnings in Ocean in 2023 and also in some cases, into 2024.
Operator: And the next question comes from the line of Alexia Dogani from Barclays. Please go ahead.
Alexia Dogani: Good morning. Thank you for talking my questions. I have two as well. Just firstly, on your decarbonization path out to 2040. Do you have an indication of what this will mean in terms of OpEx and CapEx needs for the group to hit that target? And then secondly, in terms of M&A, can you remind us kind of the hurdle rate for these investments and how you expect to deliver value? I mean I'm clearly thinking about it from sort of the transaction multiples we've seen relative to the valuation at the moment. Thank you.
Soren Skou: Yes. Again, here, let me start on the company carbonization. So the main impact is, of course, that for now, the ships that can run on green fuels, we are buying those ships with a dual fuel engine that adds around 10% to the cost of the ships on CapEx. We expect that additional cost to go down over time as the engine manufacturers become, if you will, better and more experienced in building these types of engines. On the OpEx, the main cost is the fuel. And here, the extra cost will very much depend on what happens with the oil price. We originally said when the oil price resulted in a fuel cost of between $400 and $500 per tonne on bunker oil that we expected green fuel to be 2 to 3 times as expensive. Of course, now, fossil fuel has doubled in price and is now somewhere between 800 and 900. And therefore, of course, the extra cost for green fuel is a lot more manageable. In any event, it's our assumption here that we will be able to pass on, if you will, the extra cost for fuel if there is extra cost to our customers. As we highlighted in the review before our ECO delivery product, which is based on biodiesel is a premium-priced product where the customers are paying today around $160 per tonne of CO2 abated. And we see growth in that product. It's basically tripled since last year, and we expect to continue to have strong customer interest for carbon-neutral logistics products as our customers increasingly are making their own commitments to be science-based targets. And let me then hand over to Patrick for the M&A question.
Patrick Jany: Yes. So thanks for your question on the logic of M&A and the incremental returns. So I would say, when you look at the M&A that we have done, as you know, we have been looking at capability building acquisitions where we actually want to grow our logistics business by acquiring companies, which are well managed, well run, have a good customer network. And therefore, they typically don't go at a cheap price. But the logic here and our return on it is that we actually channel our volumes then through those operations. So we really turbo charge the growth. And that is how we actually get extremely good return on our investments. So it is always an acquisition, which will be accretive to results very quickly and where we have a good return on our investment through the integration in our network and our customer relationships. To your sub-questions on the multiples, it will always be at a higher multiple than the group multiple because we're investing in logistics and services in this sector is valued at a higher multiple than our company currently is as we are still mainly perceived as an ocean carrier while, as you know, and Senator was just referring to that if we grow as we plan and if the acquisitions come as they are planned to, we're going to be approaching 15 billion already as a logistic operation. So they are gaining a tremendous significance in our operations and our customers. But still, a giving in that sector will be at a higher multiple than the good multiple, which is not indeed actually a bad thing at all because the returns we get on our acquisitions are tremendous, as you can see from the profitability and the ROIC of our logistics operation as well.
Operator: And the next question comes from the line of Cristian Nedelcu from UBS. Please go ahead.
Cristian Nedelcu: Thank you. Thank you very much for taking my questions. The first one, in the context of increasing uncertainty on the economy and maybe leaving the China supply constraints aside for a minute, if possible, what are you seeing in terms of bookings and demand health from the U.S. and European importers going forward? And the second one, your average long-term contract rates are very close to your average group reported rates. How much resilience do you see in terms of the long-term contract rates in the second half if spot rates fall more? And maybe you can elaborate here on the portfolio of long-term contracts and which areas are more resilient than others. Thank you.
Soren Skou: Yes. Thank you for the question. Let me be super clear here. We have very strong confidence in our contract portfolio. The contract portfolio is mainly with BCOs some people that own the cargo inside the container. And based on our long experience in dealing with these types of customers, they will honor their contracts. And the contracts that we have with freight forwarders, long-term contracts we have with freight forwards, they are all what we call block space agreements. These are take-or-pay contracts. So we have - yes, we are very confident about our contract portfolio delivering what we have been guiding you around this year and for the multiyear contracts also in the multiyears. Now in terms of uncertainty. I mean, obviously, there's a lot going on. There's a war in Europe. There is inflation, there's a COVID policy in China, just to mention a few things. Clearly, we are seeing the same numbers as you are in terms of a drop in consumer confidence in a drop in business confidence around the world. And those are really the reasons for why we think that this year will be - demand growth on the ocean side just around plus/minus zero. And - but it is a relatively unique situation and quite low visibility that that we have. We - the consumer confidence both in Europe and the U.S. have come down in the last few months. And while it hasn't really spilled over into the way people consume yet, it is probably a strong indicator that we will see less growth in the second half.
Operator: And the next question comes from the line of Carolina Dores from Morgan Stanley. Please go ahead.
Carolina Dores: Hi, good morning. Two questions for me. First on the Logistics business, if I look at the conversion rate, you were at 24%, which is well below peers. If you just look at pure freight forwarders, how do you think about this? Is the idea to operate at lower conversion rates because this business fits into ocean, there's room for improvement? Or is this is just a different business? That will be my first question. And the second question is if I look into your guidance and try to break down into Q2 and in second half, what are you expecting Q2 in line with Q1 and there a decline or Q2 even better than Q1 and then even a sharper decline. Just trying to understand the moving parts of the guidance. Thank you.
Soren Skou: Yes, thanks very much for your question. So when you look at our conversion rate we report this historically to show a little bit of the progress that we are making as a real logistic operator. The conversion rate is now 24%, 25%, but it includes actually the adjustment for the Russian operation, right. We took a hit of 53 million in logistics and services for our wind down of our Russian operations. So if you take that out, actually, it's 30%, right? So it's -- which is quite a decent one already. And to your point, it's probably not totally comparable over time as we are not a freight forward. But indeed, we are much more expanding, as you see from our revenue growth in the areas of fulfilled by Maersk and managed by Maersk. So in relined logistics and contract logistics. So we are doing here a tremendous impact in taking over the supply chain and helping the supply chain of our customers. So that's a different segment, and therefore, won't be actually comparable to a pure freight forwarding operation, which for us has actually no real significance at all.
Patrick Jany : When you talk about the rhythm, I think it's not really too much giving insight on guiding on quarters, but I think we would expect to be strong as Q1. I think Q1 had an exceptional hit because of the wind down of Russian operation, it won't reoccur. And therefore, Q2 should be mathematically, therefore, better than Q1. But on level of activity, I think we continue at a high level, and that is probably what you should take with you. And then we effectively take the assumption that starting on the second half, what we were referring to earlier on that the macro indicators are all pointing down. So I think it's reasonable to believe and there's a credible now signs of slowing down of macroeconomic development in the second half, and we'll see at which pace it actually happens.
Operator: And the next question comes from the line of Michael Rasmussen from Denske Bank. Please go ahead.
Michael Rasmussen: Yeah. Thank you very much for taking my questions. First of all, could you maybe talk a little bit about the compositions on your orders, i.e., just as a follow-up on the demand side here, do you see any products where actually you see an increasing share and other ones going the other way? And also, if you could comment a little bit on where you see retail inventories maybe per region? My second question is also on the Logistics and Ocean IT investments. So you're integrating all of these acquisitions right now. Do you need to step up IT investments? Or do you believe that has already been taken in the past year? Thank you very much.
Soren Skou’: Yeah. Thank you for the question. Look, in terms of orders and where we see the growth and so on, I think pretty much all of our customers today are reevaluating or in the process of reevaluating their - how their global logistics and supply chains are organized in order to ensure that they become more resilient and they reduce the risk of losing sales from not having goods on the shelves. We see that in many different ways. First of all, of course, people are looking at suppliers, how many they have and where they are located. And that is pushing a trend that was already ongoing before the pandemic. So people are trying to find an alternative to China typically in Southeast Asia. So China plus one strategy and so on. Our customers are clearly reviewing how much inventory they have the easiest way to make your supply chain more resilient that is to have more inventory, then you reduce the risk of losing sales from bottlenecks in supply chains. And clearly, that is pushing our warehousing business, our contract logistics business forward. We see lots of customers thinking about omnichannel strategies when it comes to logistics. So they need to be able to both fulfill if you will, orders to brick-and-mortar stores and also to fulfill orders they have sold on their websites or other digital platforms all the way out to the consumer. From a logistics point of view, that is a very, very different -- 2 very different tasks. And we are seeing massive growth in our fulfilled by business for that reason. And then finally, we see our customers, in general, being much more interested in long-term partnerships. We have had a long, long period where customers -- many customers was very procurement-oriented and transaction-oriented and really try to make everything about price and tender their business every year to many different suppliers. Obviously, they have had some really bad experiences during the pandemic because if you tender every element of your logistics supply chain to different suppliers, then there's nobody who feels the responsibility for tying the whole thing together. And that has resulted in massive losses of sales and it had turned made supply chain management, if you will, made that a C-suite issue, not something that is buried down in the in the procurement organization. That has really been a huge help for Merck and for our strategy because it means that we are able to do many more long-term agreements with customers who take comfort in our brand, in our relationships, in our people in 130 countries and most importantly, our control of critical assets, such as ship capacity, aircraft, warehouse capacity and so on. So that's really why we are growing so much on logistics and particular on managed by and managed by and fulfilled by. So you maybe want to add, Patrick, on IT and...
Patrick Jany: Yes. Yes. So on the side of the IT question, I think it's -- you clearly pointed out a very important factor here that has been going on in the company for a few years now. We are renovating and rebuilding our platforms in a very significant manner, trying to improve our service to the customers. So it's not really linked to the acquisition per se, but we are totally revamping and developing our maersk.com by integrating all the new products that we are developing. And that's an extremely successful development in the last years, which is only gaining momentum as we speak. So what happens with the acquisition that typically actually, we also look at those acquisitions to reinforce those capabilities, and we have had a few acquisitions like a start-up last year and also when we look at formate, for instance, where we actually use the IT platform of the acquired company as the base to develop our own operations, integrating it into a modern environment where of linking all the products together. So it's an ongoing effort. It is absolutely part of our current figures and it's not an extra effort, but it's a significant effort indeed.
Operator: And the next question comes from the line of Sathish Sivakumar from Citigroup. Please go ahead.
Sathish Sivakumar: Thanks. Good morning. I got two questions here. Firstly, on the market share gains within your top 200 customers, because that's one of the things that you flagged during the CMD. So if you could share some color on percentage of your contract volumes that you signed in 2022 within top 200 are now it was, say, in 2021, but also specifically, the long-term multiyear contract, I 22% of your volume. How much is actually is now with the top 200 customers. And the second one is actually on Lionel [ph] What has been the progression on this tariff increase across your terminals portfolios? Because some of the peers have come out and said increase between 15% to 20%. So it would be helpful if you could share some color on that. Thank you.
Soren Skou: Unfortunately, we had a little bit of a hard time hearing your question and maybe - but at least when it comes to the 22% multiyear ocean contracts, we have - they are all with top 200 clients. So they're with all the names that you would know if we were to list them. We don't want to disclose details about the tariff increases in terminals. But what I can say, of course, is that as contracts are being renegotiated, we are seeing increasing prices, and that is also reflecting in the increases in revenue per move. So we are, if you will, in a better position in a better negotiating position in terminals than probably we have been for a few years, I have to say. Yes, I think that's probably how much we could here. 
Operator: And the next question comes from the line of Dan Togo from Carnegie. Please go ahead.
Dan Togo: Thanks a lot. Regarding the normalization scenario that you have for second or half, I understand that it will affect spot rates, and we will see a lower spot rate. But presumably, it will also affect your cost base in a positive manner and probably also lead to higher volumes. How much of that is, so to say, baked into this? Or will sort of say the cost base be a bit more sticky and any impact or positive impact will flow into '23? And how rapid should we expect this normalization to happen? Will it be slower? Or will it basically be falling off a cliff. So a bit more color on how you see that? And then a question on the financial side. I mean you've lifted guidance by the USD 6 billion. Have this given any impact on how you think about extraordinary dividends? I mean the distribution to shareholders of this? Or will you say that for later, so to say. So your thoughts on your distribution on the back of this lift in guidance. Thanks.
Soren Skou: Thanks very much for your question. So the normalization, obviously an assumption, right, that we're discussing. So I think we can always have different views on the assumptions. But we start with assumption and indeed, as we earlier commented on the previous question, the contract rates are actually pretty stable, and we are very confident on that. And therefore, the deterioration of normalization environment really is reflected by a lowering of the spot rates, which come down quite significantly. That implies lower volumes, right? So our normalization is also happening on the backdrop of overall less congestions, freeing of capacity and lower transported volumes, which, on the one hand, as you rightly mentioned, for the just behavioral cost right now in terms of congestions and empty containers will settle. So that will recede probably, let's say, 30%, 40% of our cost structure is probably something which is currently, I would say, more hyped up because of the concessions. But you will have an effect, a persistent effect on higher time charter on terminal, we just discussed increased rates on inflation in general on salaries, which is creeping up as  well, like in the whole economy So I wouldn't expect a too strong relief of cost, but certainly a stronger deterioration on the spot rates, which we assume will be fairly quick, but that is obviously an assumption and then we'll see how it happens in the second half. So I think this is -- to give you an idea on the main elements. Then on your second part on your second question on the raised cash. Clearly, I think we first have to earn the cash before we can talk about distributing it. So that's, I would say, the first element. And second, you have to see that we actually are spending quite a lot of cash as well, right? So if we guide for 19 billion free cash flow, we spent already over 7 billion now with having paid the tax withholding tax on the dividend. We just acquired pilots. So we closed on that, right? We have a 2.5 billion share buyback that was already at 12 billion. And then we have left to close, and we have Senator to close. So yes, there will probably be more cash left than we expected at the beginning of the year, but we'll see how much it is, and then we'll talk about that later on towards the end of the year.
Operator: And we have time for a final question from Lars Heindorff from Nordea. Please go ahead.
Lars Heindorff: Thank you. Also two parts. The first one regarding rates. I don't know if you could give any indication about sort of the level between multiyear rates sort of contracts and then contracts which are below 12 months. I assume that the average of 4,400 include both the multiyear and also shorter-term contracts? And then just maybe a clarifying question. I think, Patrick, you mentioned that BAF will add another $150 to the average rates going forward. I'm not sure about that. And then the second part is on logistics. Now with the closing of pilot and also the other things that you have in the pipeline? Any indication about restructuring costs that will come during the course of the year here in connection with integrating those and closing those acquisitions. Thanks.
Soren Skou: All right. So on your first assumption on - question on the rates, I think we don't disclose really the breakdown between shorter-term contracts and longer-term contracts. To my now, there's not a very big difference between both. So that is, I would say, just take it as it is as an average number, which should be valid for any calculation that you want to do. And it actually includes the 1,400 additional per FFE includes what we expect as a bath effect coming into the year, right? So it's an all-in rate that we are guiding for. Then on your point on the potential integration costs. I think we have guided for each acquisition on potential integration costs over a multiyear. So it obviously will take place, but it won't be totally significant as it takes always a place over 2 years, 2 or 3 years, depending on the acquisition and will be distributed over time. But in each announcement of Senator of LF and Per, we actually have guided for the integration costs, which we can divide by probably 3 years more or less for each acquisition.
Patrick Jany: Okay. Yes. Thank you for your questions and comments. Let me just leave you with a few final remarks. We are, of course, very quite pleased with the quarter despite the unexpected challenges that the quarter presented. The success was driven by exceptional market conditions, but all segments contributed to the result. And what I want to say that underneath all the, if you will, the noise from the pandemic-driven congestion, we are building a very different Maersk. First and foremost, we believe we have now a better, more stable, higher-quality earnings Ocean business, much more depending on contracts and less depending on the spot rates. -- it's really the combination of the consolidation that has happened, the alliances, all the investment in digital and so on that brings a much better ocean business. Then we have built a very profitable -- quite profitable but very fast-growing machine in logistics. And as I said, we expect to close to $15 billion this year in turnover, assuming that we can close the 2 remaining acquisitions by the middle of the year. And this is the long-term growth and potential of Maersk. We expect to, over time, increase our share of our customers' logistics wallet. And we see really strong, strong customer interest in making in doing business with us based on the value propositions that we today have. And then finally, we have done a great turnaround of our terminals business over the last 4 years, and we now have a business that is not only growing but also delivering very attractive stable returns. So underneath all the noise from the pandemic, we are building a better business. So we will continue to invest and make progress towards our goal of really driving resilience and sustainability into the world supply chains for our customers.
Patrick Jany: With that, thank you so much for listening and talk to you again at the next call.